Operator: Good morning, and good evening, ladies and gentlemen. Thank you for standing by, and welcome to the TuanChe Limited Fourth Quarter and Full Year 2019 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded.
 I would now like to turn the call over to your host today, Ms. Cynthia Tan, IR Director of the company. Please go ahead, ma'am. 
Cynthia Tan: Hello, everyone, and welcome to TuanChe's Fourth Quarter and Full Year 2019 Earnings Conference Call. We have released our earning result earlier today, and it is now available on our IR website as well as on Newswire services. 
 Before we continue, please note that the discussion today will contain forward-looking statements made under the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in our earnings release and our registration statements filed with the SEC. TuanChe does not assume any obligation to update any forward-looking statements, except as required by the law. 
 Today, you'll hear from Mr. Wei Wen, the company's Chief Executive Officer, who will provide an overview of our growth strategies and business development, who will followed by Mr. Troy Mao, the company's Chief Financial Officer, to provide additional details on the company's financial results and discuss the financial outlook. 
 Following management's prepared remarks, we will open up the call to questions. With that said, I would now like to turn the call over to our CEO, Mr. Wei Wen. Please go ahead, sir. 
Wei Wen: Hello, and thank you, everyone, for joining us on our fourth quarter and the full year earnings call today. During the fourth quarter, the downturn of the overall market and auto industry continued, and the full year 2019 finished with an 8.2% year-over-year decline in China vehicle sales. With that being said, for 2019, we still achieved a 2% increase in the number of automobile sales transactions we facilitated with an 1.2% decrease in GMV compared with the prior year, outpacing the overall auto market. 
 We are handling this short-term setback in stride and remain fully committed to our strategic execution for long-term growth in 3 specific areas. These include further optimization of our core auto show business with a focus on generating high ROIs, accelerating the development of special promotion events, and finally, our growth initiatives in virtual dealerships and online marketing services. 
 Now let me provide highlights on our business segments for the fourth quarter. First, for our offline marketing services, we continue to optimize our core auto show business with a focus on generating higher ROIs. We successfully organized 321 auto shows across 149 cities compared with 331 auto shows in 167 cities in the fourth quarter of 2018. We expanded our sales operation to 148 cities compared with 138 cities a year ago. Going forward, we plan to strategically focus on cities with higher potential ROIs in an effort to ensure satisfactory margins and sustainable growth for our business. Additionally, in the fourth quarter, we leveraged our deep insights in automotive transactions and are focused on the development of our special promotion events, which we customized for each auto dealer and OEM. This allowed them to further monetize their customer basis by improving the customer experience leading to improved sales conversion rates. In the fourth quarter, we organized 269 special promotion events achieving revenues of RMB 7.1 million, representing a 18.3% quarter-over-quarter improvement. 
 Next, let's move on to our growth initiative in virtual dealership and online marketing services. In the fourth quarter of 2019, we recorded revenues of RMB 5.3 million for this segment, which represented an increase of 8.2% year-over-year. In terms of auto show -- auto sales, we continue to see opportunities in lower-tier cities as car ownership in these cities is still at a relatively low level compared with the first- and second-tier cities in China. Moreover, many auto brands lack strong presence in these lower-tier cities due to inadequate resources. 
 We believe our virtual dealership model provides ideal solution to the OEMs in this market as it's a great complementary sales and marketing channel to the existing traditional 4S dealer systems but specifically for cost-efficient geographic coverage. For online marketing services, we made further progress with the close of the Longye International acquisition in January 2020. By leveraging Longye's leading social CRM cloud system for China's automotive industry and with major online partners such as Tmall, we can now further pursue online-to-offline model. This empowers OEMs with the ability to reach customers more directly and more efficiently through systematic digitalization of our massive offline customer traffic and our accumulated consumer insights. In addition, our innovative and data-driven online automotive transaction progress -- process will also provide Chinese consumers with superior, smarter and more transparent automotive shopping experience. 
 As most are aware, our nation and the rest of the world have been facing difficult challenges during the COVID-19 pandemic. In light of the continuously developing status of the pandemic and the vital importance of containment efforts, we suspended all auto shows and special promotion events previously scheduled in February and March. In addition, we believe it's in the best interest of public health to continue suspending more -- most of the company's offline sales events in April, but expect a gradual recovery of offline sales events in May and June with the pace of recovery subject to further development of the epidemic. As such, we are anticipating both financial and operating results for the first quarter and a significant part of the second quarter to be materially and adversely impacted by the epidemic, which will be reflected in the revenue guidance that our CFO, Troy, will provide later on this call. 
 That being said, we believe great opportunities often arise from [indiscernible]. We have seen an increase in public interest in online automotive sales, demonstrated by the rising popularity of online streaming of sales promotion events and online car going through panoramic VRs. We will continue to increase investment in our online systems and explore new online marketing methods. We are optimistic we can leverage our powerful offline network and expertise in data analysis to capture the opportunities being presented by increasing the awareness of online automotive marketing services.
 In summary, despite the challenges we are facing, we will continue to complement our core auto show leadership with special promotion events, virtual dealerships and online marketing services. Through capitalizing on our data analytics capabilities and collaborating strategically with more stakeholders in the automotive value chain, we are striving to provide additional compelling value propositions to OEMs, dealers and the consumers, ultimately, reshaping the auto retail landscape and further fortifying our unique position as an omnichannel automotive marketplace. 
 Now I will turn this call over to Troy, our CFO, for a closer look at our financial performance in the fourth quarter. 
Zhihai Mao: Thank you, Wei. Hello, everyone. Before I start, please note that all numbers stated in my following remarks are in RMB terms or unless otherwise noted. 
 Now I would like to walk through our fourth quarter 2019 financial results. Our total revenues in the fourth quarter were RMB 182.8 million decreasing 19.3% from RMB 226.4 million in the same period last year and as a result of stagnation in the automotive industry in China. The decrease was partially offset by the steady growth of the company's new business initiatives, including virtual dealership and online marketing services. As new car sales in China continued to be soft, our offline marketing services revenues generated from auto shows in the fourth quarter 2019 decreased by 23.1% to RMB 170.4 million from RMB 221.5 million in the prior year period, primarily due to the slowing macro economy and industry-wide challenges. 
 Revenues generated from special promotion events in the fourth quarter of 2019 were RMB 7.1 million compared with nil in the prior year period. In the fourth quarter, we continued to ramp up our new business operations. Revenues from our virtual dealership, online marketing services and others reached RMB 5.3 million during the quarter compared with the RMB 4.9 million in the fourth quarter 2018. Our gross profit in the fourth quarter was RMB 132.1 million, decreasing 19.1% year-over-year from RMB 163.3 million in conjunction with revenue declines. However, our gross margin expanded to 72.3% from 72.1% in the same period last year. The margin improvement was driven by the enhanced efficiency of our auto show organization process, our improved bargaining power with the third-party vendors as well as the lower cost of operations in lower-tier cities. 
 In the fourth quarter, selling and marketing expenses increased to RMB 159.6 million from RMB 144.9 million in the same period last year, primarily due to the increase in promotion expenses. General and administrative expenses decreased to RMB 27.8 million from RMB 29.8 million in the same period last year, largely due to the decrease of staff compensation expenses. Research and development expenses increased to RMB 13.8 million from RMB 5.9 million in the same period last year as a result of our efforts to add headcount, along with the company's recent business expansion. 
 Consequently, our loss from continuing operations was RMB 69.1 million in the fourth quarter compared to RMB 17.3 million in the same period last year. Excluding the effect of share-based compensation expenses, adjusted net loss attributable to company's shareholders was RMB 58.0 million in the fourth quarter compared to a gain of RMB 8.2 million in the same period last year. Adjusted diluted earnings per share was a loss of RMB 0.20 in the fourth quarter compared to a gain of RMB 0.04 in the same period last year. Adjusted EBITDA was a loss of RMB 57.8 million in the fourth quarter from a gain of RMB 8.5 million in the same period last year. 
 Before moving on to our balance sheet and the guidance for the first quarter of 2020, let me briefly go over our full year 2019 results. For the full year of 2019, our total revenues decreased by 1.0% to RMB 644.8 million with revenues from offline marketing services decreasing 3.3% to RMB 623.2 million, offset by the strength in our new growth initiatives. Our gross profit during the full year of 2019 remained mostly flat with a decrease of 2.0% to RMB 458.2 million, while our gross margin was 71.1% compared with 71.8% in 2018. Adjusted net loss attributable to company's shareholders was RMB 139.7 million compared with a gain of RMB 3.3 million in 2018. Adjusted EBITDA was a loss of RMB 143.9 million compared with a gain of RMB 7.5 million in 2018. 
 Now turning to our balance sheet. At the end of December 2019, we had cash and cash equivalents of RMB 193.9 million. For the first quarter of 2020, we expect our net revenues to be between approximately RMB 9.0 million and RMB 10.0 million, representing a year-over-year approximate decrease of 92.7% to 91.9% due to the impact of the COVID-19 outbreak that temporarily suspended many business activities in China, as mentioned by our CEO, Wei Wen. These forecasts reflect our current and the preliminary views of the market and operational conditions as well as the influence of the COVID-19 pandemic, which are subject to change. This forecast includes a partial quarter of revenue contribution from the company's completed acquisition of Longye International Limited starting January 13, 2020. 
 This concludes our prepared remarks for today. Operator, we are now ready to take questions. 
Operator: [Operator Instructions] Our first question today comes from Laura Liu of Stone Street. 
Laura Liu: Can you just discuss like the current situation of the auto market in China? And also like the impact of this coronavirus to the company? 
Cynthia Tan: Thank you, Laura. Let me translate. [Foreign Language] 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] According to official statistics impacted by Chinese Spring Festivals and this COVID-19 pandemic, total auto transaction numbers in China dropped by 18.7% and 79.1%, respectively, in January and February. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] As far as the market trends concerned, unfavorable factors such as decreased travel by consumers and reduced number of dealership visits, macroeconomic uncertainties extending the cycle of vehicle replacement and reduced household expenditures that will particularly affect big-ticket items such as autos, may continue to impact the automotive sales in the medium to long term. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] But on the other hand, the good news is that the increased risk of public transportation during the pandemic may also partially increase the demand for entry-level cars for families without private vehicles. In addition, we have recently observed that various government entities have introduced stimulus policies to promote auto consumption as the -- as auto industry is one of the most important pillar industries in China. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] According to the China Automotive Dealers Association, by the date of April 10, 76.5% of all its dealers have already resumed operations across the country with consumer traffic recovered to around 70.8%, indicating a gradual recovery of auto transaction market. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] With that said, we'll continue to monitor the degree and duration of the macroeconomic impact by the pandemic going forward. 
 Laura, does that answer your question? 
Laura Liu: Yes. Just have another adding-on question. So how does this affect the companies like business, especially like in -- for the company strategy? 
Cynthia Tan: Please wait a minute. [Foreign Language] 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] Due to the Spring Festival and pandemic, as mentioned in our previous press releases on this impact of coronavirus, most of our offline business lines were basically suspended in the first quarter. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] With the domestic easing of the coronavirus outbreak and the continued relaxation of prevention and control measures throughout China, we expect our offline business to gradually recover starting in the second half of the second quarter, but we still face significant uncertainties in term of the pace of the recovery. At the moment, we believe it remains difficult to carry out most of our offline auto shows in April. And our progress in returning to normal operations will depend on the specific situation regarding the pandemic in different regions across China. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] Our strategy in response to the challenges is mainly to expand our online business proactively, especially with the further deepening of cooperation with Taobao, we are launching a number of new online programs such as Taobao live streaming auto shows and online special promotion events, leveraging our years of solid track record and insight from offline auto shows and marketing to build a new and more efficient model of auto marketing service online. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] In addition to that, we completed the merger and integration of Longye by the end of the fourth quarter of 2019. Its social CRM system for dealers can help us better track sale fleet of paying online and increased conversion rates, which customers are unable to visit dealer stops during this special period. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] Last but not least, we will focus on reducing costs and improving operational efficiency. With our offline activity suspended, the variable costs associated with venue, construction, sales and customer acquisition are all significantly reduced. The rest of our cost is primarily related to staff salaries and some other fixed costs. To mitigate the challenge brought by pandemic, we have adopted a series cost-control measures and have already made some progress. 
 Laura does that answer your question? 
Laura Liu: Yes, yes. It's great. 
Cynthia Tan: Thank you, Laura. 
Operator: The next question today comes from Jack Vander Aarde of Maxim Group. 
Jack Vander Aarde: I'll start with -- did I hear this correctly in response to the prior analyst's question that as of April 10, 76.5% of all dealer locations have reopened. Was that all China auto dealerships or just those related to TuanChe? 
Cynthia Tan: No. That was the official statistics for all the dealerships across China. 
Jack Vander Aarde: Okay. All right. That's helpful. And then you also mentioned in that same response that consumer traffic levels have returned about 70% or so. 
Cynthia Tan: Yes. 70.8%. That's also from the same data source that's announced by the China Dealership Association. 
Jack Vander Aarde: Okay. And then if I look at your outlook for the first quarter, you guys provide a revenue outlook. As expected, it's certainly down year-over-year quite a bit. I'm wondering if you could talk about those -- your Q1 revenue guidance from a segment contribution perspective. Maybe kind of which -- what percentage of revenues do you expect each segment to contribute to that number? 
Zhihai Mao: Jack, this is Troy. I will take your question. Well, officially, we don't make breakdowns for our revenue guidance. We only had a very limited auto shows organized in January, very limited because it was just right before the Chinese New Year. Just rounding the Chinese New Year, we had coronavirus pandemic. So for the public health, foresay, we have canceled all February and March auto shows. Definitely, with any -- with another supplement for our online marketing services, virtual dealerships, we will see some contributions from that segment. Also, we mentioned earlier, we expect that we will also see some accretive effect from the acquisition with Longye International. 
Jack Vander Aarde: Got it. That's helpful. And then -- okay. So if you -- if all auto show events have been canceled through March, but it doesn't sound like any have been canceled as far as I know from a press release for April or beyond yet. When -- I know you guys don't provide this explicitly, but when can we maybe think about when you start to see sequential revenue growth throughout the year? I know it's a very tough question, but would you expect Q2 to be higher than Q1 in terms of revenue because no auto show events have been canceled? Or would you expect maybe that's too uncertain? Maybe Q3 would be higher than Q2? Any thoughts there? 
Zhihai Mao: Even though we haven't given any Q2 guidance yet. But for sure, with the gradual recovery expected in May and June, we will see the increase in revenue streams. Also, Wei -- as our CEO, Wei Wen, mentioned, we put a lot of efforts on our online marketing services initiatives, including online streaming of auto sales. From that part, we definitely expect the recovery and also supplemented to the revenue stream. So the answer is yes, we'll see the gradual recovery starting from Q2. But definitely expect more recoveries in Q3 and beyond. 
Jack Vander Aarde: Okay. That's helpful. And then given your partnership, if I just touch on this specifically with Easyhome. Is there anything you could say about how many locations of Easyhome locations are opened? Have all Easyhome locations been opened or is that a work in progress? 
Zhihai Mao: We believe most Easyhome locations are opened. But again, it's similar to our other venue locations for auto shows for the interest of public health, it's still not good to have any possible auto shows organized at the Easyhome venues across the country. 
Jack Vander Aarde: Sure. And that makes sense. And then my last question is that you guys -- you've talked about your -- how you're focused on making investments in your online infrastructure. Can you talk about what specific investments are you making that in -- what do you expect to -- like how do you expect to benefit? How does TuanChe expect to benefit from these investments from a revenue perspective throughout the rest of this year? 
Cynthia Tan: Please wait a second, and I'll translate. [Foreign Language] 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] Okay. For the first point, under this special period -- under this pandemic period, due to most of our offline auto shows are suspended due to various -- in support of public health, the online new initiatives and online products will be one of our main streams of revenues for TuanChe for now. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] We are actually focused to expand our online product offerings and increase the monetization of our online products to build our strategic positions on online automotive sales marketing platform across China. 
Wei Wen: [Foreign Language] 
Cynthia Tan: [Interpreted] The revenue streams from our online products will actually be reflected in our following quarter report. 
 Does that answer your question? 
Jack Vander Aarde: Yes. Yes, that's helpful. And then maybe I'll just add then, if you got to think about auto show revenue and then you think about virtual dealership revenue, which would you expect to be -- recover the most, the quickest, I guess, when you look at the rest of this year? I know auto show events are the majority of the revenue, but just relative to each bucket where they've been in the past. 
Zhihai Mao: Well, in the second quarter, we definitely expect the revenue coming from virtual dealership will get recovery faster than auto show business. But definitely, we expect -- definitely, we hope, starting from Q3, the revenue coming from auto shows will pick up even faster. 
Operator: As there are no further questions now, I'd like to turn the call back over to Cynthia Tan for any closing remarks. 
Cynthia Tan: Thank you all for joining us today. And if you have any further questions, please feel free to contact us. Looking forward to seeing you all next quarter. Operator? 
Operator: This concludes the earnings conference call. You may now disconnect your line. Thank you. 
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]